Nils Andersen: So good morning everybody and welcome to this half year conference call on the AP Moeller Maersk accounts. Thank you for joining us and the program is as usual. I'm here with Trond Westlie our CFO, my name is Nils Andersen I'm the CEO and we will go through the presentation thereafter we'll take questions and hopefully provide you with some good answers. If you have uploaded the presentation the first thing you will see on the front page will be a drilling rig. It is one of our new jack-ups, it's a very large harsh environment rig that will go on contract or is starting working here in August and it's one of the five big -- six big drilling rigs that we will take delivery of this year, and hopefully everything will work well, we're quite convinced about that. And if we then go to Page 2 it's the usual sort of responsibility limitation on our forward-looking statements, if any, that of course we are living an uncertain world and we have still uncertainty on oil prices, on shipping rates and so on to take into account and we just ask you to bear that in mind. And then if I should just start on processing a few things on Page 3, updating on the strategy. We still feel that we are on good track to deliver more than 10% ROIC over the cycle, we feel that even stronger after a very good first half year. And we continue, of course, to have the strategic aspiration to grow, you can say the four large pillars, businesses, into world class businesses, but also in our fifth leg business Services & Other Shipping. We have ambitions to grow these somewhat smaller businesses into world leaders and we have good plans for that. So on the back of a strong first half, of course, all strategic intents intact. We have taken in the first half, some further steps to optimize our portfolio. We divested the shares of Dansk Supermarket, we have managed to refocus Maersk Tankers on the product tankers segment, significantly reducing the capital that we've tied up in the tanker business on the back of some years of poor performance of the industries. And then we have taken a fresh look on our oil business, we have impaired our investment in Brazil, written it down with $1.7 billion to $600 million. Have in mind though, and we'll come back to that later, but we still have to interesting projects there and we're convinced that they will materialize into business. And then we continue also our strategy of increasing pay-outs to shareholders. We increased the dividend after 2013 in line with our statement that we will grow dividends when the underlying profit gives a basis for that. But on top of that the Board decided that we will buy-back shares worth $1 over the next 12 months on the back of, first of all a very strong balance sheet and also a strong balance sheet when we keep in mind that we want to continue to be a growth business, we want to continue to invest in building the businesses going forward, but even so when we look at our five-year investment plans we do have room for this buy-back, having in mind that we have an equity which is now above $40 billion debt below $10 billion. So we feel well-equipped to do this and this will in no way impair our ability to grow. Continuing the strategy update, just commenting on the large businesses. So we have, Maersk Line has now for seven consecutive quarters had an advantage in terms of EBIT margin to the average of the industry of more than 5%. We, of course, haven't got all the details for the second quarter of this year but we have reason to believe that we are very close to previous -- the latest quarters, which have been somewhere between 8% 10% above the industry average, so that is very good. As all of you will recall, at least those of you who follow our stock and our company, we had rejection from the Chinese authorities on P3 during the second quarter and we've decided to substitute that, or instead of that, do a somewhat simpler partnership with MSC, with one partner, on vessel sharing on all East-West trades. It's a simpler cooperation as we only have one partner, of course the economic benefit is also a bit lower than it would otherwise have been but we think it is, all matters taken into consideration, this is not a bad move and we look forward to putting this in operation in 2015. We received a lot of questions and there seemed to be some confusion in the press on what we need of approvals for this. We essentially only need the American authority's approval, in both China and Europe this as a vessel sharing agreement will be surveyed but it's not subject to approval. Maersk Oil has had good progress on key projects. We still expect to have both Jack and Golden Eagle starting production towards the end of the year or around the end of the year, so that's on plan. And also the other large projects are progressing, both in Norway, Johan Sverdrup, Culzean in the UK and Chissonga in Angola, so this seems to be on a good track. And we also reiterate our expectation to reach 240,000 barrels of oil production this year on a daily basis, so that should be good. Then APM Terminals, we are on track towards our target. On NOPAT, nothing new here, and we continue portfolio optimization and working, the latest example of that is the divestment of Virginia. Maersk Drilling also on track. And we have Services and Other Shipping, we'll talk more about this at the Capital Markets Day but on track to reach its $0.5 billion. Then to the Q2 financial highlights. We had a reported profit in the first quarter on the continuing business of $2.3 billion, up from last year which is -- sorry that's the reported profit of $2.3 billion, up from $0.9 billion last quarter -- or the same quarter last year. And a ROIC of 18.6%. The reported result is, of course, impacted by the gain from sale of Dansk Supermarket and negatively impacted by the impairment of Brazilian oil assets. So if we take the profit excluding one-offs then it's up 34% to $1.3 billion which we consider good progress and that takes our progress in the first half up to 42%. The main driver has been, of course, Maersk Line but both Maersk Oil and APM Terminals contribute very positively to the continued progress. Maersk Drilling, as we've talked about during the last 12 months so there's nothing new on this, but is impacted by rig stays, or yard stays and start-up of new rigs. And the good thing here is that we actually have taken delivery of three rigs and they're all starting to produce now as we speak. Actually we've taken delivery of four and three are starting production as we speak basically. In terms of cash flow, the free cash flow is down, it's down significantly on last year, and part of the reason for that is that the CapEx is up, but also investing more in better rates and higher turnover in Maersk Line impacts this result. The outlook for the year is lifted so we now guide towards an underlying result for 2014 around $4.5 billion, up from the previous guidance of around $4 billion. Going to Page 6, Maersk Line results. We have here good progress, 25% progress compared to last year and ROIC of 10.8%. The result is better than we expected for a number of reasons, and this is also part of the back reason why we lift our guidance, but the Asia to Europe volume has grown quite significantly and actually far ahead of the economic development in Europe so that has helped giving us a 6.6% volume increase. And when you combine that with a 4.4% unit cost reduction and relatively stable rates then it actually looks very good. So this is to the upside of our expectations and we're, of course, very pleased with it. I talked about the lower free cash flow before. Fleet capacity at the moment is increasing in line with market growth so we're growing a little bit faster than the capacity growth, but growing capacity in line with the market is in line with our strategy and also in line with what we've told the market before. So actually the phasing in of the Triple-Es is compensated by slower steaming and taking out other capacity. I talked about already the long term VSA between Maersk Line and Mediterranean Shipping, so I'm not going to dive deeper into that but we're very pleased with the Maersk Line result. If you go to Page 7 we elaborate a little bit about how this comes about on the cost side, so we continue to reduce cost and this works very well. And in this quarter in particular we've been helped by the growth of volume ahead of capacity and then relatively stable rates probably on the back of also the fact that the industry has been surprised to the upside of the growth on Asia and Europe which has been helping us all. We have seen some costs increasing, the main increases come from terminals but also the intermodal inland has been picking up somewhat on the back of probably more economic activity in some of the markets where we operate. We continue our effort to reduce bunker costs and this time actually the drop in price has been less important it is the bunker consumption which has been reduced significantly with 7.2%, so this is very good. Going to Page 8, the highlights on the Maersk Oil result. A loss of $1.4 billion reported but actually when you reduce, or clearly when you take out the Brazil impairment a result increase in underlying profit to $431 million from $140 million. A better oil price, also a better oil price actually than we had expected, increase in production and then lower exploration cost. We've talked about this before but recent years' exploration results have led us to reevaluating the exploration costs, it's still work in progress but we will be more critical on this when we go forward. Nothing really to add, we've given you some highlights on the exploration results, we have two exploration wells assessed to be uneconomic in Iraq in Kurdistan. These are, of course, onshore wells at relatively low cost so not so dramatic, and we still have two wells ongoing. We drilled a well and spotted another in the UK and the one that we've finished is currently under evaluation. And the rest I have touched upon in my opening. Coming to APM Terminals results, again a good result to the upside of our expectations with a 25% growth compared to last year and ROIC of 14.2%, return on invested capital very positive. We have also here seen a good growth, part of this again good development Asia to Europe but also taking some new terminals into use has been helping us, in particular the Santos deal, with Santos coming into normal operations. The EBITDA margin is up driven of course by -- also helped by the volumes but also operational efficiency which has been a big focus of the company over the last years. The biggest development here I've touched upon already, divestment of Virginia, it's not in the quarter it's after the quarter but the background for that was, of course, that Virginia was on a lease agreement from us to the Port of Virginia and this is not really the way we want to operate so we changed that. And then the other minor portfolio expansion is a new port or a concession to operate the Port of Namibe in Angola. We already have a strong footprint in the country and this is a good sign of confidence we believe, so we are happy with that. Maersk Drilling's result, very quickly, down compared to last year, fully as expected. Probably a little bit to the upside of our expectations also there because we've seen very nice upsides on the rigs that have been in operations. The yard stays have been slightly longer than could have been hoped for but all-in-all and given the circumstances, the yard stays and the start-up of new rigs, a quarter that was surely at least in the upper end of our expectations. And I think you have all the data on the rigs, we have taken delivery of four and three will by the end of August, if we follow the plan, be on contract. So we start to slowly see the advantages of the expansion program. Services and Other Shipping, an area that has not been so easy in the second quarter. We also take our guidance down a bit and now only expect a result in line with last year. Maersk Supply Service reporting a result $10 million down on last year mainly due to challenging spot rates and also utilization but we see some light here with a new contract secured for Brazil and the contract rates at the moment also seem to be slightly better than in the first half. Maersk Tankers continue to trade in a different market and I guess a loss of around $2 million on underlying profit is more-or-less in line with market figures, we hope we are slightly better but it is unexciting in any case. We did make an agreement in the beginning of July to buy four long term, or vessels we had on long term charters and sell them on. We made a small profit on that and we also had the advantage of getting out of some long term charter commitments and reduce our exposure further to this very difficult business. Damco had a loss of $32 million compared to a modest loss in the same quarter last year. It is still the ongoing restructuring that's pulling results down, but I also have to say that this result is to the lower end of our expectations, the restructuring is taking quite a bit of time and we expect to see positive impact of it now towards the very end of the year, early 2015, but it is a big restructuring and there's still a lot of work to be done. The plan, we remain committed to the plan and the actions taken and Damco will come out of this as a more competitive company when it's all done successfully. SVITZER, also a slightly lower profit compared to last year due to a decrease in harbor towage, mainly you can say this is increased cost pressures in Australia also entrants of competitors with non-unionized crews that are creating a bit of a headache but this is, of course, a minor thing seen in the total perspective. And with that rundown on the main businesses I will hand over to Trond who will take you through the financial figures.
Trond Westlie: Thank you Nils and good morning from me as well ladies gentlemen. I'll start on then Page 12 in the presentation on our continued focus on performance. At the end of the second quarter invested capital is just short of $52 billion and the reported return on invested capital this quarter is 18.6% but that is, of course, influenced by the gain and the impairments. So underlying is still in the, short of 10% but we are moving towards the 10% level as we have been that last sort of eight quarters. Looking at the different business units, Maersk Line doing very well this quarter at 10.8%, up from 8.5% last year, trending upwards in average over the last seven or eight quarters. So we see that Maersk Line coming into a situation where we actually are delivering the return requirements over the cycle. Maersk Oil, very negative as a result of the impairments, underlying basically the same level as last year. Terminals is doing well by 14.2% return, up from 12.8% and drilling is down as a result of the yard stays and the ramp-up. So all-in-all except for the gain and the impairment very much in line with the development from previous years. Services & Other Shipping, 2.1% return and you see that Supply and SVITZER delivering acceptable returns even though slightly lower from last year and then the challenges within the Tanker industry as well as the internal restructuring in Damco. On the right side on the page you see that Maersk Tankers on the bottom, you see that we have reduced the capital employed or invested capital in Maersk Tankers quite a bit since second quarter 2012. And, of course, Dansk Supermarket is sold and therefore it's totally out of the invested capital. So all-in-all everything is progressing well according to along the lines of our ambitions. Going on to Page 13, this is an overview of our financial framework. Starting on the top left on the cash flow for the six months, starting on net debt of $11.6 billion and then you have the waterfall on EBITDA coming in, the change of working capital, paid taxes, CapEx being on $3.2 billion. We paid dividend in the second quarter and we have also, there are some subsidiaries having paid dividend to minorities, so the today of $1.3 billion. Then we have some, a bucket of others of $100 million the other way as well as the Dansk Supermarket cash impact leaving us at $9.5 billion net debt second quarter. Coming to the active portfolio management you see that the cash flow effect from divestments this year has also been good. So in total very good progress on the portfolio management this year with the sales and the big contributor is of course Dansk Supermarket as well as the VLCCs. To the bottom left just the investment in growth, we have kept the level of investment fairly high for some years. We still expect to be on the high end this year as well but so far we have invested $4.1 billion in the first six months. And the dividends development, just showing the 2013 dividend of DKK280 per share, which is then for the old numbers 1,400 for the previous shares but that shows the directional settings of the dividends, so I'll come back to the buy-back in a second. On Page 14, and the Board has decided to initiate the share buy-back program for up to $1 billion within the coming 12 months. The buy-back will be done under the so-called Safe Harbor rules within the rules set out by the EU Commission. We have sent out a specific announcement on the buy-back itself where we can find additional information and we also have some additional information in the appendices on this. So the basis of this is, of course, the Group financial situation, as basically Nils mentioned all of that in his intro, the investment opportunities out there and also the intention to maintain on our, what we call our high investment grade level for rating purposes to make sure that we have the necessary flexibility both for the wealth as well as be able to do the dividends and then deciding on buy-backs on a recurring basis. In additional to this, one additional information is that our holding company, AP Moeller Holding A/S will participate in the buy-back with their pro rata share. Coming then to Page 15 on the numbers. These numbers in second quarter are, of course, very influenced by the big ticket numbers of Dansk Supermarket and the impairment in Brazil, but I'll comment on that during the course of the way. The revenue basis is just short of $12 billion, slightly up from last year. We see that the revenue increases coming specifically in Maersk Line and Maersk Oil, Maersk Oil as a result of higher entitlement production as well as the higher oil prices driving that. EBITDA of $3.1 billion, or just short of, which is also, just falls through as a result of the cost efficiency both when it comes to lower exploration costs in oil as well as the efficiency in Maersk Line, even though nominal cost goes up we see that the revenue increase is higher. Depreciation on $2.8 billion that is included a $1.732 billion in impairments, so there are a few small items in addition to Brazil. And that leaves the EBIT of $533 million. If we exclude then the impairments the underlying number on the EBIT is $2.19 billion. Finance costs is $185 million, basically in line with previously, leaving profit before tax of $348 million. If we then do the same thing here and exclude the impairment effect the underlying result is $2 billion. Tax on $823 million as a result of the mostly oil tax in this and that leaves us with a profit for the period for continuing operations of a loss of $475 million. The result of discontinuing operations although basically Dansk Supermarket is $2.8 billion and that leaves the profit for the second quarter of $2.3 billion. The profit for the period of continuing operations on the underlying results is $1.285 billion and then you have the underlying results for the quarter as well. So all-in-all a good progress and good development of the underlying results in the second quarter. Earnings per share is, of course, higher due to the fact of the high second quarter results, so earnings per share of $103 per share. Going then to the outlook for 2014. We still expect the result for 2014 significantly above the 2013 results of $3.8 billion. That is, of course, due to the gain effects. The underlying result is now expected to be around $4.5 billion, this is an upgrade from previously where we said around $4 billion. The underlying is excluding discontinued operations, impairment losses and divestment gains. Gross cash flow used for capital expenditure is still expected to be around $10 billion and cash flow from operating activity is still expected to follow or develop in line with results. For Maersk Line we revise our expected results from being above 2013 to be significantly above the 2013 results and that is, of course, following the strong financial performance in the first half. We still expect the global demand to grow by 4% to 5%. Maersk Oil now expects a loss at a level of $700 million for the full year including the $1.7 billion asset impairment in Brazil. That means that our expectation is revised upwards for the underlying results to be in line with 2013 of our $1 billion. This is based on an average oil price of $108 per barrel and we have upped that from $104 and we still expect entitlement production to above 240,000. Exploration costs are expected to be below $1 billion for the year. For Terminals we now expect an underlying result above 2013. For Maersk Drilling we still expect a result below 2013 due to the yard stays and the start-up of operations. And Services and Other Shipping we now expect an underlying result around last year and the previous expectation was a result above 2013. For the outlook for 2014 there are considerable uncertainties not least due to the development of the global economy, the container rates and the oil price. And we have set out the biggest sensitivities as we see it for 2014 in the oil price, bunker price, container rates the freight volume as such at the bottom on the right side. So with that I'll leave the closing remarks to Nils.
Nils Andersen: Well what remains here is essentially just to reiterate our priorities for the second half, they're not very different from the first half except those that we have completed on. We continue to be very focused on managing our capacity effectively in Maersk Line, we've seen that being conservative on capacity addition has helped us a lot in the past, and we've also understood very well the importance of introducing the Triple-Es in a way that does not add a lot of additional capacity. Then, of course, progressing the VSA with MSC so we can start up early in 2015 as expected. Maersk Oil will continue to deliver progress on key projects and then we hope by the end of the year to be able to report first oil from Golden Eagle and Jack and actually have no reasons to be believe that that should not be the case, they're both progressing well. APM Terminals is at the moment very close to opening the Maasvlakte II project and that's, of course, important that we get a good start there. But apart from that we'll continue to optimize the portfolio as we just said with Virginia which will be closed within the coming days. Maersk Drilling have taken delivery already now of four rigs and one is on the way to Norway. And having started up three by the end of August the importance of getting the other ones operating as quickly as possible is of course a priority. And among others there is a strong focus on getting the third and the fourth drillships under contract. Services and Other Shipping we will update more on during the Capital Markets Day. They are, of course, still in the strategy definition phase having been established at the beginning of the year, but operational focus will be key in the second half year activities. So that concludes our presentation and we would like now to open for questions and hopefully, as I said before, we will give you some good fulfilling answers. So we are ready for questions now.
Operator: Thank you. (Operator Instructions). First question comes from the Lars Heindorff. Please go ahead.
Lars Heindorff - ABG Sundal Collier: Yes morning gentlemen and congratulations with the numbers. Regarding your Maersk Line my first question is about the cooperation with the Mediterranean Shipping Company. We've seen that unit cost is still declining quite impressively in [indiscernible] and I wonder if you could shed some light on what kind of savings you expect further going forwards, both from the continuing operations but also from the cooperation with the Mediterranean Shipping Company.
Nils Andersen: Well on the continuing operations of course my answer remains what it's been over the last years, we'll continue to push, this is part of life in Maersk Line and they're good at it, so we do see continued opportunities. In terms of cost savings due to the VSA with MSC it is of course bunker cost primarily driven by larger vessels and shorter sailing distances on average because we can make on average more direct routes and that is really what that is to. At this time of course there are no operational synergies back office-wise because we will continue to operate our own individual ships but, so it is mainly a bunker fuel gain.
Lars Heindorff - ABG Sundal Collier: Okay then. On the Oil part, I don't know if you, I mean in the strategy update you write a little bit about your exploration costs going forwards and you've stated that the exploration level is under evaluation, I don't know if you can get a little bit closer on that and maybe give us an update on that?
Nils Andersen: I can't get closer now, this is something we will do as we progress during the year and hopefully when we give guidance for next year we can be a little bit more precise on that.
Lars Heindorff - ABG Sundal Collier: Okay. And then lastly, regarding the oil production, Qatar is down quite significantly versus the first quarter. You previously had been guiding that overall production will be down because of scheduled maintenance in the second and the third quarter.
Nils Andersen: And that is the case. We have a number of shutdowns in the oil business in Q2 and Q3, that's why we guided for the drop in production during those quarters. Qatar is one. Dansk Undergrunds Consortium is another. We had a total shutdown of 12 days during June. So this is the background for that.
Operator: Next question comes from the Robert Joynson. Your line is open, please go ahead.
Robert Joynson - Macquarie Securities: Good morning, Nils; good morning, Trond. I have three questions if I may. It's probably easiest if we take them one at a time. So the first one is actually on the M2 as well. If you look at the capacity provided by the M2, it accounts for around 80% of the capacity proposed for P3, but close to 70% of the number of vessels that would have been used for P3. So that basically implies that the average vessel capacity under M2 will actually be larger than would have been the case with P3. So if you kind of hold all else equal, with respect to unit cost savings and bunker cost in particular, is it reasonable to assume that M2 will provide at least 80% of the savings that P3 would have provided? Or are there any other consideration to consider in that respect?
Nils Andersen: Well, I think, you know, we don't like percentage games so much, but the M2 or 2M as we call it, I think will be very close in terms of fuel efficiency and because of the, on average, larger vessels. It is of course always better for fuel to have a bigger network in total, so it is not quite as good. And on top of that, of course there's some things that we will lose out on since this is just a vessel sharing agreement where P3 was closer cooperation with joint planning and so on. So the effect is somewhat smaller. Not a lot smaller but it's somewhat smaller. But you can say, to run it and implement it is probably less problematic or less challenging than the P3. So all in all, I think it's a fair change.
Robert Joynson - Macquarie Securities: Okay, thank you. And then just a question on the Triple E's. I thought that you recently talked delivery of the tenth Triple E vessel, meaning that you potentially have enough to set out a complete string with those vessels. So I mean given that it's difficult to derive the full benefits of the Triple E's until you actually do have enough vessels for a complete string, does that suggest that the cost savings related to Triple E's could actually take step upwards from Q3 onwards?
Nils Andersen: Well, I think it's -- we are already seeing benefit from the Triple E's. The fuel efficiency is very good, actually capacity utilization is above our expectation. So that looks good already. Ten, whether ten or eight or 12 is the magic number, I don't know, but a full string is probably requiring by the way between 11 and 12 vessels. So I think we see the effect already and we're getting ten more, so we look forward to continued effects from this. But you're not going to see sort of a quantum leap just because we reached a magic number of ten.
Robert Joynson - Macquarie Securities: Understood, thank you. And then just the final question, on -- maybe this is one for Trond. You reported a loss of $1.4 billion in the quarter, which of course included the $1.7 billion impairment charge for Brazil. Now that suggests an underlying profit of around $300 million, but I noticed that reported an underlying result of $431 million on page four of the release today. I mean does that mean that there was an additional one-off expense in the results at around about $100 million on top of the $1.7 billion impairment charge?
Trond Westlie: That's correct, and that's in the text line.
Operator: The next question comes from Neil Glynn. Your line is open. Please go ahead.
Neil Glynn - Credit Suisse: Hi. Good morning everybody. If I could first ask a question with respect to Maersk Line. Some of your competitors have been talking about discounting to keep market share based on concerns on P3, which obviously has been abandoned. Just interested as to whether you're seeing any easing in pressure on the news of that abandonment. The second question, Nils, I think you mentioned at the first quarter that drilling should see about a $200 million hit year on year because of the yard stays and startup costs and other some moving parts that you touched on within the presentation. But is it fair to still think about a $200 million hit from those exceptionals? And then a final question, just on the buyback, obviously should be very welcome for investors. But in terms of your thinking on coming to $1 billion, you've obviously got your framework, but was there any temptation to distribute the full level of proceeds from the Dansk Supermarked sale?
Nils Andersen: Thank you. I'll start backwards on these questions. We did not sell Dansk Supermarked because we needed the cash, so in that sense you could say it is -- it was excess cash in our balance sheet. But we also want to make it clear that we are a growth company and we want to continue having a strong investment pipeline. So if we can use the money well with good returns, I think we do the shareholders and everybody a favor by keeping it inside. And that's why we prefer, you can say, a more smooth distribution of funds. But it is more on the back of general strength of the balance sheet and the underlying strength of the business that we do it, not so much based on the concrete $3 billion income from Dansk Supermarked. So I would rather separate the two. On Maersk Drilling, the hit of the $200 million is probably still right. We have had some one-off incomes that have compensated partly, and we're also seeing an improved situation around the up-time. So the operation is actually doing a little bit better, so we're not saying that it should be $200 million below last year. I think actually it will be better -- or it will be better than that. On top of that, we will see improved income from the drilling rigs when they start up in the second half. So that was the drilling. And then your first question was on easing of rates. And here we haven't really seen any particular easing or changes of rates because of P3. I think there's a lot of speculations on why rates go up and down. But basically we're seeing -- we saw during second quarter a relatively stable rate environment. So of course, rate's below last year, but not a drop compared to the first quarter. And I continue to believe that with the whole industry on average being very close to a zero EBIT margin that rates are low for the industry as such, and at some point the customers will have to accept rate increases. And I think this -- the poor results of most of the industry reflects this situation. There is just not room for cutting rates any further.
Operator: The next question comes from the Christopher Combe. Please go ahead. Your line is open.
Christopher Combe - JPMorgan Cazenove: Thanks. Just a couple of questions on the liner business. Regarding 2M, just wondering if we should expect any sort of quantified guidance by the time of the Capital Markets Day. And also you mentioned that the expected gains are primarily in the back of bunkers. Should we not also expect great opportunities to return started in tonnage? So that's the question on 2M. And then second, could you elaborate a bit on the non-box related revenues with demurrage and stat revenues in the second quarter, and how you'd expect those to develop over the medium and long term? Thank you.
Nils Andersen: Yes. We're not going to -- I mean we will maybe be able to say more at the Capital Markets Day, but I can't tell you now what the exact content will be of that -- of the presentation there. We continue of course to try to charge to our customers in the most fair way. And if people keep the containers for a long time, this gives us a capital cost which we try to charge. So I think you may see more differentiation going forward between the base rate and the additional charges. But this is very technical and I think this could be something that could be elaborated on at the Capital Markets Day.
Christopher Combe - JPMorgan Cazenove: Okay. And one last one if I may. In terms of the cost reduction side for Maersk Line, can you tell us how much benefit came from reduced time charters that would be reflected in EBIT, and then perhaps how much would have been related to finance leases that you highlighted in Q1?
Trond Westlie: Well, the leases is not really impacting a lot on the numbers in the second quarter. So the effect of that is fairly marginal. Coming to your previous question on demurrage and detention, we're still in the range of around the 10% level, as we have guided on. So, basically around the 10% level is the same level as previously. 
Operator: The next question comes from Dan Togo. Your line is open, please go ahead.
Dan Togo - Handelsbanken: Thank you and good morning. Could you on Maersk Line elaborate a bit on the volumes that you're seeing as you highlighted that they are particularly strong at the moment, which commodities and markets are driving this? And is there some element of restocking here? That's the first question.
Nils Andersen: Yes, I can -- we can give you a little more flavor. Actually surprisingly, the import into Europe has been quite -- has been very strong. The Europe, Asia -- Asia/Europe is up by around 9%, which is much above what you would expect given the economic development. And that we believe that there's a strong element of refilling of inventories. So we expect that growth to be less going forward. We're also seeing another interesting trend which is that the backhaul from Europe to Asia is actually down. So the traditional exports of paper and scrap have -- has declined during the period. That is another trend. And then you can say that the imports to the US probably has been a little bit weaker than you would have expected given all the positive news that you've gotten from the US, but probably on the back of a poor first quarter. So we expect that those -- those figures to be improving in the second half. And then for the rest of the world, probably a lower growth in growth markets than you would expect normally. And what the cause is for that I think will remain to be seen. But it's Asia to Africa and Asia to Latin America which has grown less than we would expect it. For Latin America it's of course partly because of poor economic developments in Brazil and Argentina.
Dan Togo - Handelsbanken: Okay. And then a third question, another question on Maersk Line, ROIC is now above 10%, and I remember a few years back that CapEx in Maersk Line was not sort of say on the board. But looking ahead, now with returns coming back, how do you view that CapEx-wise? I know you have cost need, capacity and all its growth, but are we looking at more Triple E's? It is more to sort strengthen the north-south trades? Where are you looking at for future CapEx within Maersk Line?
Nils Andersen: We, of course, we are constantly looking at our capacity needs. It's not that we have a very urgent need right now to order, but with the growth of the market, let's say of 4% to 5%, we will need, when the Triple E deliveries stop in 2015, we will probably have some time to run up or we will have some time to run without orders after that, but sometimes during 2017 we will need some kind of capacity. What exactly it will be is it's too early to say. We're looking at -- we'll be looking at that when we see the impact of 2M on our deployment plans.
Dan Togo - Handelsbanken: But is the time right for these sort of say long-term investments with yards being pressured right now and all of our segments in the needs, to the needs basically?
Nils Andersen: Well, I think we all had to be very careful by calling -- on calling the cycles. And what we've been doing in Maersk Line or what we want to do in Maersk Line is order when we need capacity. And there are always people who think now we're at the bottom of the cycle or now we're at the top of the cycle in terms of prices. But it's very hard to call. And the only thing we know is that when you have vessels you don't need, you run too much cost, and you also have the holding cost of the capacity. So that's a given. So we don't -- we prefer not to be too speculative, but all of the vessels when we need them.
Dan Togo - Handelsbanken: Understood. On your oil production and you're guiding lower for Q2 and for Q3, and then a pickup in Q4. But how should we look at Q3, more or less in line with the production level of Q2?
Nils Andersen: It's a little bit too early to say, but it will be probably to that level, but we do have a number of shutdowns coming, so count on being somewhere around the 230,000 something like that probably. But it's going to be below the average by definition.
Dan Togo - Handelsbanken: All right. And then a final question on share buyback. You have touched upon this already, but could you give us some kind of guideline for what is the financial metrics you're looking at, financial key indicator you're looking at, that guides you to your share buybacks? And is it a recurring event we should look at going forward?
Trond Westlie: Can you just specify what do you mean by financial metrics we'll look at?
Dan Togo - Handelsbanken: I mean others are using let's say net debt to EBITDA, whatever. Can you be more specific about how do you get to $1 billion exactly and what should be your guideline going forward for how much you can pay out, or shall we say, buy back?
Trond Westlie: Yes. And the element is that in the, as we say, it depends on the financial situation, the investment opportunities, and our -- basically to maintain our rating level. And that rating level is really what's driving our financial flexibility of how much we can actually gear the Company. And with those three parameters, is really defining whether we can see that for a period that we have excess capital more than we need relative to our growth aspirations. And that basically comes down to a judgment call on how much the Board would like to see on the buyback in addition to the ordinary dividend.
Dan Togo - Handelsbanken: It comes down to the size of the buffer in order not to compromise your, so, say, your rating, I guess?
Trond Westlie: The answer to that is of course yes. And that underlying, it is the rating effect that drives this.
Nils Andersen: But Dan, don't forget one thing, and that is that we have significant, I'm just jumping in here for Trond, he's coughing a bit, but we have significant investment plans, and we want to make sure we can deliver on those and still stay within the financial ratios of a strong investment grade rating. But we do see that, with strong operational performance and the strong cash position that we have on the balance sheet, that we have room to pay out and still maintain a very ambitious investment level. I think it is to be seen as a signal also that this is an additional tool we take into the toolbox, payouts. And if we don't find enough investments that will meet our return requirements, then this is a much better way to use our cash than plowing into underperforming things.
Operator: The next question comes from Joel Spungin. Your line is open. Please go ahead.
Joel Spungin - BofA Merrill Lynch: Yes, good morning, gentlemen. I've got three questions, if we can take them one at a time. My first question is with regards to your CapEx plans and the $10 billion guidance which is ticking above, you spent $4 billion I think in the first half, gross. In the last few years you've always tended to be very conservative on your expectations, with CapEx coming quite a long way below what you said you're going to spend. I was just wondering if you can elaborate why you're sticking with the $10 billion at this stage, and also if you could give us a bit of color on how that's going to split between the five major areas of the business?
Trond Westlie: It really is -- well, coming back to the main drivers, it's going to be the delivery of the drilling rigs, the Triple E's, and the development in oil and gas, that's going to take the most part of that. And then of course it's the continuous development in the terminal projects. So that's going to do slightly less than the others. But the drivers is going to be the delivery, because the payment schedules is of course that you did pay most when both the drilling rigs and the ships are delivered. So that will of course drive the element, together with the developments in oil and gas.
Joel Spungin - BofA Merrill Lynch: Okay, thank you. And my second question was just with regards to your comment earlier with regards to approval for the 2M vessel sharing agreement, and you mentioned that China does not need to prove it, but it would be surveyed. I was just wondering, given there's already been some negative commentary from China even about these plans, agreement, is there any way that the Chinese authorities could block this arrangement?
Nils Andersen: Well, within their historic behavior within the legislation that we can see today, the answer is, our interpretation, is no. But to say never is, under no circumstances, that I think is a guarantee that nobody can give.
Joel Spungin - BofA Merrill Lynch: Okay, understood. Thank you. And then just finally, just on the drilling business. Obviously you highlighted you've got two vessels coming on in the next few months which are currently un-contracted, and the current outlook in the industry is pretty poor. So, one, it seems that they're unlikely to find home in the short term. Can you sort of help us with understanding the economics of how you deal with having un-contracted vessels?
Nils Andersen: Well, we don't share your view that this is -- that it's unlikely that we'll get contracts. We have excellent assets coming out, we have a very, very strong performance tradition in that business, so we think the assets will be -- would be among the first that the customers will look for. But of course you are right that the -- in the short term the industry is challenged somewhat because a number of the offshore operators are reviewing their investment plans, partly in view of the oil price and the oil price expectations, but also because we've seen that investment projects have become far more expensive than everybody assumed. And actually a number of companies like ourselves have had some disappointments in the exploration phase. So there's a lot of thinking going on. We still believe that this is a growth market, the deep and ultra-deep-water oil needs to be found and produced. But at the moment there's a thinking process. But we believe that the assets and the crews we're bringing on stream will have a good chance of being deployed. If not, then of course we have -- you can cold-stack or you can warm-stack. We don't believe that we will cold-stack anything. So that means that we will keep them prepared for working, and that means that there will be depreciation, there will be interest and there will be operational cost associated with it. So this will be a hit to our result next year for sure.
Joel Spungin - BofA Merrill Lynch: Is it likely that being the case that therefore you would likely to see 2015 profits remain depressed then?
Nils Andersen: No. I think we will -- we said that we regard 2014 as a one-off in the sense that we -- product profitability is reduced because of the startup cost, which we will of course not have. We will have cost of idleness, and a lot of yard stays. But we will have more rigs working. So out of the six we put into operation, four are working on long-term contract. So that is not too bad. And our order situation going forward, we still have much higher capacity coverage than the average of the industry. So we feel very comfortable in this situation.
Operator: Next question comes from Thijs Berkelder. Please go ahead.
Thijs Berkelder - ABN AMRO: Yes, congratulations, gentlemen. Thijs Berkelder, ABN AMRO. I have three questions. First one, on APM Terminals, can you give an indication on whether the startup of Rotterdam Maasvlakte will bring extra cost or has brought extra cost, and what's roughly the size? And when opening, will that also bring additional cost, or should we then see a real pickup in profitability? Second question, Chissonga in Maersk Oil, can you maybe give an update on time schedule and what next steps are going to be? Third question is you're partnering I think with BP on 20K technology in the drilling rigs. Can you give an update when we possibly can expect announcements, further announcements there?
Nils Andersen: Okay. Starting with the Maasvlakte, the Maasvlakte is a terminal which is the Maasvlakte 2 which is meant to work being a special terminal for Maersk Line, so we'll actually use the capacity from day one, so yes there will be cost, but there will also be income. So you can say the effect on APM Terminals accounts will be more what happens to Maasvlakte 1. And that of course they're working on getting more customers in and so on, and how the cooperation should be there going forward. So that's too early to say, but you don't expect anything dramatic from this implementation. In terms of the 20K, we have ordered, as we said previously, some of the long-lead items, in particular the very big blowout for vendors that will be especially made, and we think that's a commitment from both BP and ourselves. So we expect probably orders to be placed sometimes next year, without wanting to commit to anything. And then if you talk about Chissonga, then we've gotten offers in. We're evaluating offers. So this is in the tender phase at the moment. And then we will, once we have all the offers in, we will decide whether we have good project or not.
Thijs Berkelder - ABN AMRO: But looking at Chissonga, does that mean that, let's say, the economic profit is at risk and that really depends on the offers coming in?
Nils Andersen: Yes, of course. I mean I think this is an ultra-deepwater, or deepwater at least, development, and these developments are all, I think you will have the same -- using the same situation with hotel and others. These are projects where you have to make good technical solutions and you have to have competitive offers from the suppliers in order to make viable and interesting projects.
Thijs Berkelder - ABN AMRO: Can you maybe explain whether the situation with SBM Offshore and Brazil has anything to do with the delay?
Nils Andersen: We're not delayed in this process. I think we are on track, and we -- I'm not aware of any specific issues with SBM and Brazil. 
Operator: The next question comes from Finn Bjerke Petersen. Please go ahead.
Finn Bjerke Petersen - Danske Bank: Yes. Good morning, gentlemen. One question on CapEx. You're saying in your slide pack, in 23 here, page 23, that you would grow the business by 10% roughly annually. Could you say something what is needed in maintenance CapEx and what is needed in CapEx to grow the business for the horizon up to 2017 as you're stipulating on page 23?
Trond Westlie: Well, the element is that our depreciation, our ordinary depreciation, is around $4.5 billion. So I think it's just a guidance. I think you should take that as sort of a maintenance level, and then you could see the rest as growth. There might be varieties of course in that underlying number on depreciation, so around sort of four-and-a-half to five-ish around on the maintenance as a rough estimate. But it can be lower and it can be slightly higher, depending on the year-on-year basis. But that's really what is underlying and the remaining part is growth.
Finn Bjerke Petersen - Danske Bank: But the remaining part, is that then $10 billion we're looking at or -- so it's an additional $5 billion, or is it less to grow the total Group with a 10% annual rate?
Trond Westlie: Well, as I said, that depends on the type of assets we're investing in. Because if we're investing in replacing assets in the shipping side, of course that is a maintenance part. But if for example in drilling and oil and gas and terminals, we're building new one and additional capacity that is of course growth. So it's hard to say from more than on a general basis what is actually maintenance and what is growth, because that is year-on-year, asset-by-asset definition.
Operator: Next question comes from Gianmarco Bonacina with Equita. Please go ahead.
Gianmarco Bonacina - Equita: Yes, Gianmarco Bonacina from Equita. On drilling, basically you have an EBITDA which grew sequentially. So, if you can explain a little bit how that was possible considering that in your recent presentation on drilling you guided on four yard stays, in particular one the Gallant which was $100 million? So if you can give us an indication of how much were the costs for the yard stays in the second quarter. And also maybe, you mentioned before, some positive one-offs, if you can say something about that. And then about Angola, if you may think about reducing your stake in the project considering maybe the CapEx needs are probably quite high. And if so, what kind of stake would you consider to be reasonable? Thank you.
Nils Andersen: Trond will come back on the details on Maersk Drilling or give you a little more light on that. But in terms of Angola, in general we don't publish plans to do things like that. But we do have a high operating share in Angola and it could be natural to reduce that at a point in time. I think the right time could be when we have a complete project and it's viable and profitability looks good. I think at the moment there are too many moving parts to consider those things.
Trond Westlie: Going back to the drilling side, yes, there are elements that is influencing this, because of course there is yard stays that were in place in the first quarter and coming into operation in the second quarter, and it's -- of assets going in, then two yard stays in the second quarter. So the net effect of the different yard stay is of course an element in this. We have less yard stays, you might say, in the second quarter than the first quarter, but coming to precision on that. In addition to that, there is a one-off effect in there. There are some provisions made earlier that has been revised. So it is helping the EBITDA slightly on the positive side. So the third element on this is of course that, as a result of some postponements on the drill ships, we have seen that the ramp-up cost has not come as quickly as we expected, so the ramp-up cost has been slightly lower in the second quarter than what we anticipated. So that's basically the three elements explaining the development on the EBITDA.
Gianmarco Bonacina - Equita: Okay. Sorry, just a quick follow-up, because in your presentation which you published after the site visit on drilling, you showed that in the second quarter you were expecting four yard stays, and actually in the Q1 there was only one. So I'm just wondering, why you're saying that in the Q1 you had higher cost for yard stays if it was only one yard stay and then the second quarter you had four, or maybe, yes, that information is not updated. Thank you.
Trond Westlie: Well, I have to get back. I don't have the schedules on the actual yard stays, but the experience or my recollections on the EBITDA effects, not the revenue effects because it's a cost side and sort of a capitalization plan as well on that. I'll get back to you on that detail.
Nils Andersen: Okay. So if there's a last question, we'll take that.
Operator: The next question comes from Douglas Hay. Please go ahead.
Douglas Hayes - Morgan Stanley: Yes, good morning. Just two questions left from my side. First, on the Maersk Line business, when looking at the waterfall chart that you guys provided in the presentation, you said bunker is one of the big decreases in unit cost, but then there's $104 million of other cost declines. Can you give us a little bit more insight as to what that was? Because it seems like a bigger driver of cost improvements.
Nils Andersen: Just a moment. We have, as I said before, the inland transportation and the terminal costs are up. Container equipment improved, you can say, improved capacity is working well. And then we have the bunker. And the others, that will be, among others, it will be cost for time charters and it will be cost for staff, so it will be SG&A expenses in general.
Douglas Hayes - Morgan Stanley: Okay. But that then is pretty sustainable then throughout the rest of the year.
Nils Andersen: We hope so.
Douglas Hayes - Morgan Stanley: Yes, fine. Okay. And then secondly, going back to Maasvlakte, the two rollouts. You've had some slow startups to neighboring port in Wilhelmshaven. So what gives you a bit more confidence that the Maasvlakte 2 experience is similar, slow startup that you've seen at that neighboring port?
Nils Andersen: Well, the -- I think it's two completely different situations. Rotterdam -- in Rotterdam we have a given need. It's a very strong port, seen from a Maersk Line perspective. So there the capacity utilization is basically given from the beginning.